Operator: [Audio Gap] to 21Vianet Group's Second Quarter 2013 Earnings Conference Call. [Operator Instructions] Before we begin, I will read the Safe Harbor statement. This call may contain forward-looking statements made pursuant to the Safe Harbor provisions for the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and observations that involve known and unknown risks, uncertainties and other factors not under the company's control, which may cause actual results, performance or achievement of the company to be materially different from the results, performance or expectations implied by these forward-looking statements. All forward-looking statements are expressly qualified in their entirety by the cautionary statements, risk factors and details of the company's filings with the SEC. 21Vianet undertakes no duty to revise or update any forward-looking statements for selected events or circumstances after the date of this conference call. With us today are Frank Meng, 21Vianet's President; Jun Zhang, Chief Operating Officer; and Shang Hsiao, Chief Financial Officer. Following management's prepared remarks, we will conduct the question-and-answer session. At this time, I would now like to turn the conference over to Shang Hsiao, 21Vianet's CFO.
Shang-Wen Hsiao: Good morning and good evening, everyone, and welcome to 21Vianet Second Quarter Earnings Conference Call. Before we get started, please let me introduce you our President, Frank Meng, who will speak with us on our earnings conference call today and going forward. As we previously announced, Frank joined our company last month with almost 30 years of experience in the telecommunication industry. Frank is now responsible of our company's strategic planning, branding and marketing, government affairs and strategic initiatives. He will provide you with an update on our company's strategic initiative and overall performance on our call going forward. Now I would like to hand the call over to our President. Frank?
Frank Meng: Thank you, Hsiao. This is my very first earnings call as the President of 21Vianet. So hello and welcome. During this quarter, we continued to focus on the growth and the expansion of our company as the leading Internet infrastructure provider in China, strengthening our foundations for the next stages of growth. For our core IDC business, hosting demand showed continued growth, with utilization rates growing over 70%. This was [indiscernible] by the continued strong growth from our Internet and enterprise customers alike throughout China. Our COO, Jun Zhang, will give you further details on this. Moreover, we have also successfully launched the public preview for Microsoft Windows Azure in June and for Office 365 earlier this month. This is a milestone achievement in our company's history, which exemplifies our superior technological and operational expertise in bringing world-class cloud services to China's market. In order to support this effort, over the past several quarters, we have invested heavily to establish a devoted team and the infrastructure to service this new platform. Now with the operational launch for public preview for Microsoft cloud services, as well as the commercial launch in the coming quarters of our infrastructure, we are excited that all other investment and efforts will begin to bear fruit. We believe that the rollout of our cloud platform with Microsoft will add another important pillar to our overall growth, providing us with meaningful revenue accretion and margin expansion later this year and in the coming years. Turning into the second half of 2013. We are very excited about our strong growth as we benefit from our expanded network capacity, growing utilization that is driven by both our Internet and enterprise customers, as well as increased breadth of our products and the service offerings. We believe we are well-positioned to grow our overall Internet infrastructure footprint as the adoption and the consumption of cloud computing and data-intense online media, e-commerce and other services continues in China. With that, I will now turn the call over to our Chief Operating Officer, Jun Zhang, for operational updates.
Jun Zhang: Thank you, Frank. Good morning and good evening. To elaborate Frank's point, we are pleased to have maintained a high MRR per cabinet and improved our utilization during the quarter through constant focus on tracing the increasing demand from a growing Internet and enterprise customer base. Additionally, the performance was supported by our ongoing strategy of expanding our footprint in high-demand and high-margin markets while tapping into other emerging areas. As we highlighted previously, we spared no effort in aggressively expanding our business center facility in Beijing and a few other large cities, where we continue to witness the incremental demand for data center outsourcing. Benefiting from our established market leadership, for example, the utilization rate reached 80%, in Beijing Baoshan data center in just 9 months after its completion. [indiscernible] in south -- in Beijing and other key regions helped to drive the overall improvement in utilization rates over the quarter. In addition, we are also on track to complete the first phase of new mega data center in Beijing by the end of this year. The presale of our new Beijing M6 data center remains very strong due to the robust market demand. With the additional self-built cabinet, we continue to shift our cabinet mix to higher-margin, self-built data center, which will continue to generate improvement in margins and operational efficiency. At this point, I would like to turn the call over to Mr. Shang Hsiao, our CFO, who will discuss our financial performance, as well as financial forecast in greater detail.
Shang-Wen Hsiao: Thank you, Jun, and good evening, everyone. Now I will go through our financial details. I would like to state that we will present non-GAAP measures on today's conference call. Our non-GAAP result exclude certain noncash expenses which are not part of our core operation. The detail on these expenses may be found in the reconciliation table, included in our earlier release. Also note that all the financial number we are presenting today are in RMB amount unless otherwise noted. Our net revenue for the second quarter of 2013 increased by 29.3% year-over-year to RMB 471.1 million. Net revenue from hosting and related service increased by 42.9% year-over-year to RMB 293 million in the second quarter of 2013, primarily due to an increase in total cabinet under management in self-built and partnered data center attributable to growing customer demand. The MRR per cabinet was RMB 10,559 in the second quarter of 2013, as compared to RMB 10,422 in the first quarter of 2013. Net revenue from managing network service increased 11.8% year-over-year to RMB 178.1 million in the second quarter of 2013. This increase was primarily driven by network capacity demand for data transmission service. The increase in management network service revenue was primarily driven by organic network capacity growth for data transmission service. For the second quarter of 2013, adjusted gross profit increased by 23.1% to RMB 135.8 million. Adjusted gross profit margin was 28.8% compared with 30.3% in the prior year period and 28.8% in the first quarter of 2013. Adjusted operating expenses increased to RMB 85.9 million. As a percentage of net revenue, adjusted operating expenses was 18.2%. More specifically, adjusted sales and marketing expenses increased to RMB 34.7 million from RMB 22.4 million in the prior year period due to the expansion of our sales and service supporting team and our marketing effort associated with the launch of Microsoft premier cloud service. Adjusted general and administrative expenses increased to approximately RMB 32.6 million from RMB 24.2 million in the prior year period primarily due to an increase in headcount, office rentals and other expansion-related expense associated with our effort to expand its cloud computing service offering. Adjusted research and developing expenses increased to RMB 18.6 million from RMB 15.6 million, which reflects our effort to further strengthen its research and development capability and expand our cloud computing service offering. The main difference between adjusted operating expenses and our higher GAAP total operating expenses amount is primarily due to change in the fair value of contingent purchase consideration payable, which was a loss of RMB 40.3 million and share-based compensation expense of RMB 10.5 million. The change in the fair value of contingent purchase consideration payable has resulted from an increase in the present value of estimated cash and share consideration as of June 30, 2013, associated with our company acquisition. From a profitability perspective, adjusted EBITDA for the second quarter of 2013 increased to RMB 87.2 million. Adjusted EBITDA margin for the quarter was 18.5% compared with 19.3% in the prior year period and 18.4% in the first quarter of 2013. Our adjusted net profit for the quarter was RMB 18.8 million compared with RMB 37.6 million in the prior year period. Adjusted net profit margin was 4% compared with 10.3% in the prior year period and 7.1% in the first quarter of 2013. Adjusted diluted earnings per share for the quarter was RMB 0.05, which represents the equivalent of RMB 0.30 or USD 0.05 per ADS. As of June 30, 2013, our cash and cash equivalent and short-term investment was RMB 1.5 billion, equivalent to USD 242.6 million. Regarding to the CapEx, in the second quarter of 2013, we spent approximately RMB 71 million of CapEx on our infrastructure [indiscernible]. For the full year of 2013, we plan to spend approximately RMB 600 million, as we announced previously, including additional data center we plan to build in 2013. Looking at our financial outlook, currently, the company expects third quarter of 2013 net revenue to be in the range of RMB 508 million to RMB 520 million. Adjusted EBITDA is expected to be in the range of RMB 92 million to RMB 102 million. This forecast reflects the company's current and preliminary view, which is subject to change. This concludes our prepared remarks for today. Operator, we are now ready to take some questions.
Operator: [Operator Instructions] Your first question from the line comes from Colin McCallum from Crédit Suisse.
Colin McCallum: Three questions actually for me. First of all, am I right in thinking that you moved from the beta phase of Azure to actually charging customers for Azure as of the 1st of August? And if I'm correct in that, can you tell us exactly what revenue you generated from Azure in August? That's the first question. Secondly, in terms of 360 -- or rather 365, when you -- when will you actually start to monetize that? When will you move from beta testing to actually charging for that service? Could you just remind me of that as well? And then the third question was again, just the same thing I asked last quarter, just looking at your balance sheet still seems very strong and the interest charge is obviously helping to pull you into a loss-making situation. What are you thinking in terms of uses of that kind of very large gross cash possession?
Shang-Wen Hsiao: This is Shang, okay. Thank you, Colin. Okay, for the first one, the Microsoft, I think you referred to the Windows Azure. At this moment, the partnership between Microsoft and 21Vianet, we have not charged, okay, our customer yet. In fact, the Microsoft and 21Vianet, currently, we are working on the pricing strategy, okay. And we may starting to charge our customer, okay, in the third quarter, which is this quarter, okay. So we have not charged that, okay. So once we formulate our pricing strategy with Microsoft and the company, okay, we'll do announcement, okay, in this area, okay. For your second question, regarding to the company's...
Colin McCallum: Can I just interrupt there? It's -- so is that a delay then? I think you'd said you were going to have that sorted out by the 1st of August. Is that being delayed? Or was my initial understanding incorrect?
Shang-Wen Hsiao: Okay. So far we see this still on schedule because our original -- the company gave out the guidance, okay, probably in starting from the third quarter, the partnership, okay. It may starting to charge our customer in Windows Azure in the fourth quarter, the last quarter of 2013. Then we were starting to charge the Office 365. That's the current plan. So we're still on track on this one. And we do have a certain customer already signed a contract, okay, with 21Vianet. But at this moment, okay, I think the pricing strategy had not been finalized. So I'm not -- unable to discuss on this topic, but it's coming, okay. That's number one. Number two, the second question you refer about cash, if you guide -- can recall on March 31 -- I do remember it's the last day of March, the company issued RMB 1 billion bond in the Hong Kong dim sum bond market. And to issue the bond, the company actually is obligated to pay the interest, and the interest rate on those $1 billion bond, is 7.875%, okay. So if you see, okay -- I know a lot of people watch our net profit in this regard, and you will see the interest expense, okay, on our P&L increase a little bit, okay, and somehow are eating up some of our earnings per share. But if you exclude the interest, the second quarter company profitability performance actually is a lot better than the first quarter of this year, okay. So that's -- but the company -- I have to say we just need a certain amount of cash to clear out our data center. I want to say right now, we are in a very aggressive expanding of our data center capacity in China. I think our COO mentioned about it. We are building one of the biggest data center in China. Actually, that's located in Beijing, Daxing data center. The data center alone will give us 5,400 cabinet, et cetera. Those are big data center, okay. Will consume some of our cash particularly starting from the second half of this year, okay. Thank you, Colin.
Operator: Your next question comes from Lucy Liu from JPMorgan.
Lucy Yajun Liu: I have 2 questions. Firstly, on your EBITDA margin, so it seems like on the year-over-year basis, it still declined gradually, which is -- I feel your business model of EBITDA basis show a bright, quite strong operating leverage especially given all these cloud -- newly launched cloud services. So I was just wondering what's your outlook for the EBITDA margin in the second half of the year. And if any comment on next year's margin, that would be great. And secondly, also on cloud, so I just wonder -- I understand that you are still working on the pricing part, but so far, how many pre-orders have you got? And also, how many subscriber have you locked from your beta trial for Windows Azure and potentially can transfer to the pay customers?
Shang-Wen Hsiao: Okay. Thank you, Lucy. The first question regarding to our EBITDA margin, I think our gross margin, I would say, has remained consistent, okay. And for the EBITDA margin, okay, if you look at, closely, our operating expenses for the past 4 quarter, you will see the operating expenses continuing to increase. And this is related to our investment into the partnership with the cloud computing with Microsoft. And right now, we do have a close -- somewhere around 200 people, okay, which we need to pay their salary, okay, to retain those people to working on this project. And so once we starting to receive the revenue from the Windows Azure and also Office 365 and we should be able to see the margin improvement very significantly. So just bear with us. We may see those number in Q3, okay, and Q4. So that's for our EBITDA margin, okay. If you exclude those investments we make into the cloud computing partnership, I would say our EBITDA margin, okay, actually are -- was better, okay, than the last year, okay. So that's number one. Number two, you're talking about pre-order subscriber, et cetera. I can give you certain statistics right now, okay. We launched -- the Windows Azure, we launched public beta on June 6, okay. 13 hours, okay, after our launch on the Windows Azure, and by -- more than 5,000 customer, okay, signed on to trial on Windows Azure, 13 hours, okay. And 2/3 of that is from the -- it's enterprise customer, and 1/3 of that actually are individual. Somehow, that just give you an indication. But remember, the public beta is for free. So nobody need to pay for that, okay, just trial. And also, the public beta for Office 365, we just did that, okay, on August 8. And I probably cannot provide the number, but it's very, very encouraging, okay. So indication, look like in China, if we can bring in world-class cloud computing service -- and actually, we are giving a new choice, okay, to the Chinese customer to use our cloud computing service. So we remain very strong, competitors, okay. Windows Azure and Office 365, they will do pretty well in China market, okay. And in term of how many of them, they will stay once we starting to charge them, at this moment, it seems we have not charged them. So I cannot give you very specific statistic. Once we starting charge, maybe the company can provide such a number, okay. Thank you, Lucy.
Lucy Yajun Liu: Can I follow up with one more question? So I just wonder, your trialed customer for those of the products, how many of them are, like, private companies? So basically, who are these customers? Are they private companies, private users or government users and all these? And some clients or some investors are concerned that the recent -- the spy issue in China would any -- arouse any concern from the government side to use the third-party data center providers?
Shang-Wen Hsiao: Okay. First of all, I just want to say, okay, our customer base for the property beta, okay, those customer actually came out from different sectors, okay. We do have the government agency, okay, to try on the Windows Azure, okay. We also have a multinational company, okay, who have their operation in China use this service, for example, like GE, Coke, okay, those major U.S. companies. And we also have Internet company, for example, like Renren.com, okay. They use -- they try to use Windows Azure for their business card signature. And we also have certain software companies, like a FinFET software. They want to build their ERP product on top of the Windows Azure, okay, et cetera, okay. I mentioned about certain names, okay. That's just a representative. We also have some of the automobile, okay, company, the joint venture, okay. They use Windows Azure, okay. We also have a video-content company, like a PPTV, okay. They want to use Windows Azure for their live broadcast. So the customer range is quite big, okay, et cetera. And you also mentioned about government agency, okay. They have -- they are reluctant to use outsourcing data center service. But in fact, for us, okay, for example, the Ministry of Foreign Affairs in China, that's a ministry, they put their server, okay, in our data center. So the key thing I just also want you to know, actually, government agency, okay, did use our service, okay. Thank you, Lucy.
Operator: Your next question from the line comes from Louie DiPalma from William Blair.
Louie DiPalma: Are you guys still targeting 50%-plus EBITDA margins over the long term for the Windows Azure and Microsoft Office 365 products?
Shang-Wen Hsiao: Okay. Louie, the answer to you, okay, yes, okay, and not only 50%. I think for the long term, okay, the EBITDA margin, okay, in this cloud business probably even more than 50%, okay. I will give you a reason, okay. The reason is, okay, they say if 21Vianet issued, okay, $100 invoiced, okay, to our customer, 21Vianet, we won't recognize $100 as our revenue. Probably, we will recognize -- it's recognized under a net basis. Let's say if the revenue-sharing portion for this particular product is 30%, then 21Vianet will only recognize, okay, that $30 as our revenue, okay. For the whole partnership with Microsoft, okay, the 21Vianet, we are responsible to cover the people cost, the software engineer who will provide the technical support, service support, et cetera, okay, and Microsoft and, okay -- they will take care of the CapEx, okay. They will buying the server, okay, and deploy that into our data center. Even for the deployment into our data center and to 21Vianet were charged to Microsoft as our regular hosting business, just like when we charge to IBM and HP. So since we only recognize the net sales, okay, and based on the current projected -- the people expenses, we think that this business should give the company a very high gross margin and EBITDA margin.
Louie DiPalma: And as a follow-up to that, do you know how much money Microsoft is spending for marketing in terms of customer acquisition for Microsoft Office 365 in China?
Shang-Wen Hsiao: The exactly amount, I don't have it. But right now, if you come into China, you will see a large logo all over the place. And also, you will see the Internet, okay, all regarding to the Windows Azure and Office 365 public beta information. I don't know how much money, okay, they have been spent since Microsoft -- they already have a big operation in China. So I think the amount, okay, maybe significantly, okay. But at this span, our point of view, one purpose actually already served is for the most of the enterprise in China, they know, okay, the Windows Azure and Office 365 is coming to be available, okay, to the Chinese customer.
Louie DiPalma: Great. And following this Microsoft launch, has there been any other large Internet content providers that have had discussions with you regarding a similar type of partnership in order to gain the same type of advantages that Microsoft is gaining with you by co-locating in your facilities?
Shang-Wen Hsiao: I think, okay, you know our partnership with Microsoft, okay -- Microsoft, okay, it treats 21Vianet as one of their most important partner in China. So far, we are the only one operation entity over there. Of course, a lot of U.S. company, European company do contact our company, okay, for certain partnerships, et cetera. But right now, we just want to focus our energy, our people, our resources to do this partnership, which we think, okay, we are going to get a lot of revenue and profitability of this partnership for the coming years, okay.
Operator: Your next question comes from Chad Bartley from Pacific Crest.
Chad Bartley: A question on your Q3 revenue guidance, any particular headwinds or challenges to growth that you're seeing? Or asking another way, what would drag revenue to the low end of the range?
Shang-Wen Hsiao: Okay. Thank you, Chad, okay. [indiscernible] you see some, probably a little bit -- a big range on our revenue guidance, okay. And the thing is like this, okay. Assuming if we get -- our data center business, okay, is very easy to predict but in case we starting to accumulate the cloud computing revenue, that is something right now, okay, we cannot predict precisely at this moment. So we put our guidance over there just to give the company a certain flexibility, okay. That's why. Okay, Chad?
Chad Bartley: Okay, all right.
Operator: [Operator Instructions] Your next question comes from Gary Yu from Morgan Stanley.
Gary Yu: I have one follow-up question on your third quarter guidance. Could you give us a breakdown of what did you assume on revenue from hosting MNS and cloud computing within your guidance range? And the second question I have is on your balance sheet item. It appears that the capital lease obligations have increased quite significantly in the second quarter. Is there any implication on future cash outflows? And can you also repeat your CapEx spend in the second quarter? I think it was RMB 71 million, but correct me if I'm wrong.
Shang-Wen Hsiao: Okay. For the third quarter guidance, okay, we're assuming -- I'll just give you a number, okay. We're assuming the hosting will increase, okay -- Q-by-Q, increase by more than 10%. And at some time, we are assuming, okay, our MNS, okay, where growth, Q-by-Q, around 8%, okay. And so -- and we did improve, okay, certain -- the cloud computing service, okay. The only thing we are not sure is the deployment time. If the cloud computing revenue we're starting to collect is towards the very end of the third quarter, that revenue will be limited. So we -- okay, I will give you the increased percentage over there. If you calculate, that's very consistent to the guidance we provide, okay. And so that's number one. And second thing is our capital lease. You mentioned our balance sheet. There is -- that's a major item, okay -- I did mention about it. We are building one of the biggest data center, okay, in Beijing in China. That data center will keep us to have 5,400 cabinets. And we leased, okay, that building -- it's a big building, okay, for 20 years. And the lease actually is structured as a finance lease, okay. It's a finance lease, okay. So that's why, okay. You see the capital lease application significantly increase over there. So you will see this capital lease, okay, on our balance sheet for a long time. So each quarter, if you guide, doing the modeling, you have to put in this capital lease application, okay. So I think I answered your question. Is that okay?
Operator: Your next question comes from Eric Chu from Canaccord.
Eric Z. Chu: My question is, if you look at the whole thing, revenue for this quarter it came in much longer than we have expected even though you didn't grow MRR as much as you did in the first quarter on a year-over-year basis. I guess which -- that implies that you've added quite some build cabinet in the quarter. So I was just wondering, could you confirm if that was the case? And if so, could you also comment on the presale trends on cabinet that you guys are going to be adding in 3Q and 4Q?
Shang-Wen Hsiao: Okay. Thank you, Eric, okay. First of all, the company in the second quarter, we did not adding additional self-built cabinet but -- however, okay, we do have a sales cabinet. Remember, our utilization rate was 68% in the Q1. Actually, the utilization rate increased by 2%. What that mean is, some of our inventory, okay, the cabinet, have been sold, okay, in the second quarter. That's one. And the second thing is we also increased partner cabinet, okay, particularly, around the Beijing area. Why? Because, okay, we are scheduled to deploy the M6, okay, data center in Beijing in September. The presale at this moment actually have been sold out. It's a 900 cabinet we plan to deploy in September. The presale already completed, sold out. So if people want to have a Beijing cabinet at this moment, we don't have it, okay. We don't have it. We probably need to wait until like November or December when the new Beijing cabinet to come out, okay. So that's why when you see the MRR -- so the MRR, I also want to mention about, you say slightly increased because we sold some of the cabinet in Shanghai, Guangzhou and Shenzhen. At the same time, we also sold some of the already strong [ph] data center cabinet. So in Beijing cabinet, actually, those MRR cabinet was higher than the cabinet we sell into Shanghai, Guangzhou and Shenzhen. And we kept the weighted average, okay, then we see our unit price, which is MRR per cabinet, slightly increased to RMB 10,500, which is a very good sign. Eric?
Eric Z. Chu: And then I have a quick follow-up on margins. I understand that -- I recognize that cloud revenue, you will start to move some of the R&D expenses into COGS. And could you maybe walk us through how that's going to play out? Will that be proportionate to the cloud revenue that you would be recognizing? Or would that be sort of a near change to the -- from the cloud-related R&D revenue into COGS?
Shang-Wen Hsiao: Okay. I think we're starting from -- I mentioned earlier, okay, that 21Vianet actually is responsible, okay, to pay the -- our employee, so pay the people cost. The people cost at this moment, okay, when we forecast, if under a fully loaded, okay, basis, we think in the first year of operation, okay, we probably will pay somewhere around RMB 80 million, okay, for those salary and wage for the whole year, RMB 80 million for the whole year. And we will expect, okay, at least 15% of that will go to the cost of sales, okay. So if you really want the number -- so I expect under the first year of operation, maybe USD 6 million or USD 7 million will go to the cost of sales and the rest of USD 5 million to USD 6 million will stay into operating expenses. Okay, Eric?
Operator: [Operator Instructions] Your next question comes from Colin McCallum from Crédit Suisse.
Colin McCallum: Just one quick follow-up for me. Just on those customers you mentioned, GE, Coke, et cetera, can you give us any flavor of what proportion of customers on Azure when you actually start to pay are actually being captured by your own sales force and therefore subject to higher revenue share? And then the Microsoft sales force, at the moment, if you were to guess, what's that proportion of business is being won by your own sales force that's on Microsoft?
Shang-Wen Hsiao: Okay. Thank you, Colin. So right now, the customer who signed on the public beta in China -- on the public data, okay, they signed up by themselves. So we don't say that's our customer or Microsoft customer. At this moment, 21Vianet, which is -- our focus is to bring the cloud computing platform up to a standard, okay. So right now, our focus is on those things, the technical part, okay. But once, okay, we're starting to charge the customer, then 21Vianet will starting to put in the sales and marketing effort, okay. But in the future, I do believe, okay -- I do believe that 21Vianet is able to generate certain of the customer, okay, because after all, we are a company engaged in data center business for 15 years in China. And we do have certain mid-sized and small-sized company there, very close, okay, with the company. And if we consider they are most suitable, okay, to use Windows Azure or Office 365, then we will bring them into the platform, okay. But right now, again, we are focused on branded technology part, okay. It's marketing -- sales and marketing effort right now is driven by Microsoft in China at this moment.
Operator: Your next question comes from Gary Yu from Morgan Stanley.
Gary Yu: Just a follow-up question on your utilization rate for data center in Shanghai, Guangzhou and Shenzhen, what's the latest utilization rate there? And what do you expect the sales in the second half of this year?
Shang-Wen Hsiao: Okay. Our utilization rate in Shanghai, Guangzhou and Shenzhen, okay, first of all, total number of the cabinet for the 3 data center should be somewhere around 2,000 and close to 500 -- okay, 2,500. At this moment, I believe, more than 600 cabinets have been sold. So utilization rate actually is not that high, somewhere around 25% to 30%. But our plan is to reach 75% utilization rate, okay, before the end of this year for the 3 data center in Shanghai, Guangzhou and Shenzhen. What I mean is more than 1,000 cabinet, okay, will be sold, okay, for Q3 and Q4 this year. So those cabinets, okay -- the sold cabinets actually will contribute our revenue, okay, to bring in, okay, our momentum, okay, for the third quarter and fourth quarter. So that's what we expected and trying to do.
Operator: [Operator Instructions] There are no further question at this time. I would now like to hand the call back to our CFO, Shang Hsiao.
Shang-Wen Hsiao: Thank you for everyone to attend the call, okay. We looking forward to speak with you again soon, okay. Thank you.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may all disconnect.